Operator: Ladies and gentlemen, welcome to the Capgemini 2020 H1 Results Conference Call. I now hand over to Mr. Aiman Ezzat, CEO. Sir, please go ahead.
Aiman Ezzat: Thank you. Good morning, everyone. I am delighted to welcome you to my first results as CEO of Capgemini. I am joined by Rosemary Stark, our Chief Sales Officer; and Carole Ferrand, our CFO. So over the last few years, we've shared with you the positive evolution of our business with the confidence that, in case of a crisis, we will show resilience. This is exactly what our H1 figures show, increased resilience and agility compared to the financial crisis; and our 2020 outlook further strengthens this point. In H1, our revenues grew by 7.9% in constant currency, supported of course by the Altran acquisition starting in April. Our organic growth was a limited decline of 3.4%. Our bookings were strong notably in Q2 in spite of the lockdown, leading to a book-to-bill for the second quarter of 1.1, which was clearly above expectations, notably thanks to a strong month of June coming out of the lockdown. Digital and cloud, as we expected, resisted well during the pandemic, with a double-digit growth in H1 and especially a Q2 growth of 7%. Now this is a clear demonstration that digital and cloud is critical to our clients' business and that the investments done in the last few years in the portfolio are paying off. The margin stood at 10.8%. It's another important aspect of our increased resilience, with a limited erosion of 0.6 points. This led to a minus 4% in normalized EPS. Our organic free cash flow remains healthy, taking into account the seasonality of our cash flow generation and in spite of deferred payment requests by a number of clients. All in all, a good H1 in the light of this very severe crisis. Now I will never say enough that this sudden and abrupt crisis was unprecedented. We reacted in a fast and efficient way managing priorities around people, clients and operation, leveraging years of investments, but beyond the initial response, the importance has been our ability to operate in this new environment for months. Health and security of our teams across the world was and will remain our #1 priority. Not only were we able to ensure business continuity for our clients without degradation in service levels. We have now proven that we can continue to operate in the new normal mode as long as required. We hire. We onboard people. We train them digitally. We sell. We transition and deliver in a remote manner. Now even if our work from home globally remains around 90%, with variations across countries, it's true that the ability to go on client sites in some cases, have physical meetings when needed is a huge plus. Finally, we took serious cost containment measures, as you have seen, but leveraging what I call smart cost management, which implies that -- not taking decision that will damage our future. For example, we maintained promotions and salaries for our people. We increased and accelerated training. We did not cut budget in investment, in innovation and offerings. In a word, we are preserving our future. And I cannot thank enough our leadership and all our employees for their dedication, and I'm very proud of what we're achieving on the CSR front to support our communities in this terrible crisis. Now looking a bit more detail at how this resilience materialized, we analyzed the evolution of our organic growth rate between Q1 and Q2. It clearly reflects what we shared with you late April, which mean that we had already a pretty good perspective on -- of what's going on. From a sector perspective, manufacturing and services suffered the sharpest decline led by the industries of aerospace, automotive and transportation. And we also suffered in some of the consumer business. On the other side, we resisted well, notably in Financial Services; and even showed an acceleration of growth in the public sector. Our -- on the business line front, unsurprisingly, the biggest dips were in strategy and transformation consulting and engineering, which are the most cyclical. On the other side, our operations business, notably Business Services and cloud infrastructure services, resisted quite well. Finally, on the geographic front, France was by far the most affected due notably to the unfavorable mix of sectors in-line of the pandemic and business lines, combined with a pretty severe lockdown. On the other side, most other regions resisted better, and APAC remained in growth. Capgemini diversed portfolio from a sector business line and geography was a clear plus. And Altran, which as an engineering and R&D business is more cyclical, resisted better than many of its European competitors. Now looking at our constant currency growth, we clearly see the impact of Altran, whose weight is important in France and North America but also contribute to the expansion of our footprint in Spain, Italy and Germany. Now let's go and talk a bit about the Altran integration. Altran is fully consolidated in our accounts since April 1. The Capgemini management processes are being rolled out. All integration planning activities are on track and progressing well. We finished the discovery phase; are finalizing the integrated organization design, which will be aligned with our lead operating model that we launched, as you know, 2 years ago. It is fully focused on bringing the full value of Capgemini to all clients while accelerating the development and rollout of our innovation offerings. On the commercial front, cross-selling and joint opportunities are increasing every month. We now have over 250 opportunities being pursued, and we already closed more than 20 of them. This great progress in 4 months allowed -- in a pandemic and lockdown situation allowed me to confirm our target annual run rate of revenue synergies of 250 to -- EUR 200 million to EUR 350 million by 2023. The cost and operating model synergies identification and implementation are developing well. We now expect to reach an annual run rate equivalent to 2/3 of the EUR 70 million to EUR 100 million range by the middle of 2021. And the development of joint offerings will -- which will underpin our Intelligent Industry leadership are moving ahead; and we expect to launch a first set of offerings, notably in areas of like 5G and edge, in the coming weeks. Above all for me, the cultural fit remains excellent, and the leadership on both side is fully engaged in making the integration a success. I remain confident on the value creation potential based on the market opportunity that the Intelligent Industry offers and the quality of the teams and the progress we are making after only 4 months. Now we have seen that I have set the development of renewed climate ambition as a group priority for 2020, and we announced it in July: carbon neutrality for our operation no later than 2025 and a net 0 ambition by 2030. We are building on a successful track record, having delivered already 30% reduction in carbon emissions per employee since 2015. Our new ambition is going to set us on a trajectory to be in line with the requirement of the 1.5-degree science-based target pathway. In addition, we have been developing offerings to help our clients reduce their own carbon footprint; and have set ourselves a target to help our clients reduce their carbon footprint by 10 million tons by 2030, which is more than [ 20% ] our own footprint in 2019. Now of course, looking ahead, it's important to recognize that there are changes in the market. COVID has accelerated demand evolution and created some new client expectations. For example, more than ever, there is a continuous and growing demand for digital and cloud. Clients really realize during this crisis how important it is to have made this investment and the need to continue to progress in these areas. Areas like supply chain transformation and cybersecurity have become in high demand, and we see an increasing pipeline of large deals driven by vendor consolidation and cost transformation. Rosemary will detail for you some of our most recent win and some of the key success factors that we had do -- that enabled us to do that. There are also things that are changing for us. We have become much more proactive, driven by the pandemic, notably in terms of shaping deals with clients and also continuing to nurture our CxO relationship. We also have leveraged the lockdown to significantly accelerate our reskilling programs, and our handling of the crisis has increased the engagement of our teams and improved our perception in the talent market. We are investing in promising domains and prepared for the bounce back: new best-of-breed offerings in the areas of 5G and Intelligent Industry, which we expect to launch, as I said, in coming weeks. And we are leveraging our consulting capabilities, where we had a bit more capacity in the last few weeks, to accelerate our own internal transformation projects and design our future model of work at home and new normal. I am confident that we'll come out stronger from the crisis. Now let me recap some of the key messages. We resisted well to COVID crisis with proved resilience and agility. The Altran integration is on track, and we confirm our synergy target. We have a clear ambition to be the leader in the intelligent industries market. We are accelerating on climate with clear target both internally and externally. And we use the pandemic as an opportunity to transform some of our operation and fully embed the new normal. I will be providing my priorities and ambition as the CEO during a Capital Markets Day to take place within the next few months. Timing will depend on market condition, but it won't be later than end of the first quarter 2021. Now based on the improved environment, we are in a position to provide a guidance for the full year. The constant currency top line is expected to increase between 12.5% and 14%, which is equivalent to an organic growth of minus 3% to minus 4% -- 4.5% for the full year. So organic growth of minus 3% to minus 4.5% for the full year. The margin contraction will be limited to 60 to 90 basis point, and the organic free cash flow should exceed EUR 900 million. The range that I gave you on the top line and the margin accounts for the degree of uncertainty that still remains as of today due to the pandemic and potential measures that could be taken by governments to contain it, all right? So it's very important to put these ranges in the context of the uncertainty we still see. I am quite confident about the improved outlook and expect to enter 2021 stronger than before the crisis. I'll pass it to Rosemary to talk about sales and some of the deals that we have won in the first half.
Rosemary Stark: Thanks, Aiman. And good morning to you all. It's a pleasure to be with you. So looking at sales. In H1 2020, we delivered strong sales momentum. We had H1 bookings of EUR 7.8 billion, an increase of 10.3% year-on-year at constant currency; and with that, a book-to-bill of 1.03. In Q2, we closed EUR 4.4 billion of new sales, an increase of 18.8% year-on-year at constant currency, and our book-to-bill improved in Q2 to 1.1. Sales were fueled by digital transformation, often to support our clients' new ways of working. And during Q2, we saw many clients stopping or delaying discretionary spend. It definitely affected our project pipeline, but now we see that recovering, and project and discretionary demand is close to its pre-COVID level. As a result, our Q2 -- our H2 pipeline is fueled by both strong funnel of large deals and this improving demand for projects I've just mentioned. We see an increase in the number of deals above EUR 100 million in the pipeline, and they're largely driven by our clients' needs to accelerate digital transformation. For example, many clients are looking at supply chain transformation. There's a marked increase in the demand for cloud migration. We see our cybersecurity, AI and analytics pipeline was also strong. And there's definitely an increased demand for vendor consolidation really driven by cost reduction and simplification requirements of our clients. The pipeline is growing well, particularly in consumer products, in Energy & Utilities and in telco. And although the Manufacturing sector was clearly affected by COVID, it's now showing signs of recovery too, and we expect that to continue for the rest of the year. While in Q2 we saw some delays in client decision-making, we also see that improving; and we expect decision-making timescales to be back to normal over the remainder of the year. Now let's cover some of our wins in more detail. As I mentioned, several common themes we've seen driving our Q2 sales: digital transformation, supplier consolidation and cost reduction. What's been interesting is, with COVID confinement, our Q2 sales cycles have been really different from what we would see normally. And we've had a number of deals that we've been able to [ solution ], to win and to deliver entirely remotely, which is quite different for us. In consumer products, for the John Lewis partnership, one of the U.K.'s most iconic retailers, we've been chosen as their strategic partner for applications development and maintenance through to 2026. This agreement consolidates a range of existing supplier activities that the John Lewis partnership has and it moves them into a single strategic relationship. And it will ensure that John Lewis partnership can benefit from interesting new operational practices and technologies and that the applications are supported and running to the agreed performance levels. Moving on to telco. For a leading telco provider of networking and telecoms equipment, Capgemini has been chosen as the partner to transition their Indian R&D global in-house center. And the client's objective for this transition was to gain greater efficiency and productivity to better align skills with the product strategy; and to be able to take advantage of more flexible staffing, better management of employee attrition. And we've won this 3-year deal based on Altran's strong relationship and history of high-quality service delivery for the client but also because of our ability to offer additional assets and capabilities and, of course, strong product support services. Moving on to Financial Services. For a global investment banking client who needed a next-generation data solution, we've been working on a new solution that integrates operations and IT managed services. Bringing different parts of our business together, we've designed a transformative solution. We've reinvented some of the client's business processes. And using a very modern data architecture, we have this solution up and running on the cloud. And it's really established some state-of-the-art data platform and processes using intelligent automation and cloud capabilities really at the heart of the solution for this client. Moving on to Manufacturing now, and I'd like to talk to you about a really interesting example with one of our global power tools manufacturers, and it really illustrates where Capgemini's complementary capabilities with Altran bring together something new for clients. This client wanted to consolidate its vendor base in a context of quite tough cost pressure. They also wanted to create a stronger partnership with a smaller number of Tier 1 providers. And by bringing together Capgemini's long-term knowledge of the client and their IT systems, our engineering services presence in Europe and now Altran's research and development capabilities, we've been chosen by the client as the preferred partner for their R&D consulting services. It really brings Altran's operation and technology scales to the client for the first time. And the agreement covers a range of product and software development, IoT analytics and testing services. And the client has gone on record as saying they've chosen us specifically because Capgemini obviously has a strong history with them but now with the expanded value proposition and engineering capabilities, again our combined global and local presence and the ability to provide this seamless IT and operating technology skills the addition of Altran to their group allows us to do. In public sector, a key deal is the significant 5-year partnership that we've recently signed with the U.K.'s Ministry of Defence, and it's for the provision of the MOD's IT services center. The services center is -- it's at the core of the operational service management, of which the MOD needs to deliver essential IT services. And through the partnership, we'll be applying Capgemini's leading AI and smart analytics capabilities, the objective being really to increase the digital sales service and to empower MOD's end users. And I think it's great to see so many interesting and diverse deals in Q2 despite the COVID crisis. I'm going to hand over to Carole now to talk you through our financial results. Carole, over to you.
Carole Ferrand: Thank you, Rosemary. And good morning, everyone. Let me start by stating that the estimated results communicated at the end of July are virtually identical with those published today. Also, as you would expect, our H1 results are a little less straightforward to read than usual. It adds 2 quarters with contrasted top line trends. Additionally, our Q2 combines the opposite impact on revenues from the COVID pandemic on one side and from the first consolidation of Altran on the other side. However, this complexity should not overshadow the stronger resilience of our activity and financial performance. Now let me walk you through the financial highlights of H1 2020 results as you can see on Slide 16. Group revenues reached EUR 7.581 billion in H1, up 8.2% at current exchange rates and 7.9% at constant rates. Our operating margin stands at EUR 818 million or 10.8% of revenues, down only by 60 basis points year-on-year. This limited contraction supports our expectation that 2020 will demonstrate our improved resilience compared to the 2009 crisis. After the operating expenses, other operating expenses, financial and tax expenses, which I will comment later on in more details, the net profit stands at EUR 311 million for H1. The normalized EPS, adjusted for the transitional tax expense, stands at EUR 2.95, down only 4% year-on-year. Finally, we generated an organic free cash flow of EUR 106 million for the period compared to EUR 90 million in H1 last year. As discussed in April, Q2 was set to differ materially from Q1. In Q1, in view of the COVID outbreak, we didn't face any material issue on the supply side; and the quarter came quite in line with Q4 2019 trends with a constant-currency growth of 2.3%, including 0.3 point from M&A. With lockdowns and restrictions enforced in many geographies, our Q2 reflects a lower demand, with an organic growth of minus 7.7%. This number combines minus 6.9% on Capgemini legacy scope and minus 11.6% for Altran. Then further to the success of our public offer, Altran is fully consolidated since April 1, so the Altran revenues more than offset the pandemic impact on revenues in Q2, leading to a constant currency growth of 13.4%. For the entire H1, this contrasted quarterly performances led to an organic growth of minus 3.4% and constant currency growth of 7.9%. FX had a slightly adverse impact of 0.3 points in Q2, leading to an overall positive impact of 0.3 points in H1 2020. Our reported growth thus stands at 13.1% in Q2 and 8.2% in H1. For the full year, we expect Altran and other acquisitions to contribute to an estimated 17 points to group growth, while FX should represent around 1.5 points of headwind. Let me now have a quick look on our revenues by sectors. I will not further develop the various organic trends by sector as already exposed by Aiman, but let me just highlight the key impact of Altran mix on our mix -- of Altran on our mix. Manufacturing accounted for 22% of group revenues in Q2 2020, but that is not materially different from our exposure to this sector prior to the acquisition with 19% of group sales in 2019. Conversely, we are getting scale in TMT, which represented 13% of group revenues in Q2 this year versus barely 9% in 2019. Let's now look at our revenues by regions. As presented by Aiman, France was heavily impacted in Q2 and recorded the largest organic decline. However, with the consolidation of Altran revenues starting April, French revenues are up 7.6% at constant currency in H1. For the other regions, I won't repeat the impact of Altran, predominantly on Manufacturing and TMT, nor the organic sector trends. I will just highlight geo specifics, if any. In North America, which grew by 4.2% at constant currency in H1, Financial Services further strengthened over Q1 and Q2 and posted slightly positive organic growth. U.K. Ireland -- and Ireland constant currency growth was slightly positive at 0.6%. Rest of Europe's stood at 15.1%. Asia Pacific and Latin America kept its momentum with 11.4% growth at constant currency. This is a remarkable performance since the impact of Altran is less material in this region. Finally, please note that Altran doesn't substantially change our mix geographically speaking since, both companies, we are rather similar in that respect. You have the combined Q2 geo mix in the appendix section. Now let's have a look at our revenues by business line. Altran has a more visible impact on our business mix, which becomes a little more diversified as Altran is mainly an engineering business. It's now fully visible in the H1 mix presented on this slide that on a Q2 combined basis the weight of Operations & Engineering's in our mix is up to 33% of group revenues. Applications & Technology remains our core business but now represents 60%, while Strategy & Transformation remains at 7% with innovation consulting capabilities of Altran. So for the first half of the year, Strategy & Transformation reported an 8.6% growth, as it now embeds the high-value services from Cambridge Consultants and frog. Application and technology services reported minus 1.3%, with a very limited impact from Altran. And operation and engineering grew by 37.2% at constant currency. Now moving to our operating margin by regions. First, we are happy to report that our operating margin improved again in North America by 150 basis points year-on-year. In U.K. and Ireland, our operating margin is down to 14.3% in H1 2020 versus 15.9% in H1 last year but remains largely above the group average. With the largest organic revenue contraction in Q2, France, unsurprisingly, reports also the largest margin impact with 250 basis points. Finally, our operating margin in the Rest of Europe and Asia Pacific and Latin America regions report a limited contraction of 110 basis points and 90 basis points, respectively. Considering the very abrupt and intense nature of this crisis, I believe that the resulting limited margin contraction of 0.6 points at group level illustrates how much our operating and financial model has been reinforced. Moving now to the head count evolution. Our total head count reached 265,100 employees at the end of June, up 22.3% year-on-year but down by 2% compared to December 2019 on a like-for-like basis. The offshore leverage on Capgemini legacy perimeter remained stable at 57%. Altran added close to 50,000 people, who came with an offshore mix in the low 30s. As a result, the reported offshore stands at 53%. So there's no change in our operating model, and we expect the offshore ratio at Altran to increase in the years to come. Our attrition stands at a 17.4% as at June 2020, on the last 12 months basis, down by 5 points versus June last year. As a point of reference: 2009 attrition stood at 10%. Moving on to the analysis of our operating margin by destination. Obviously, the operating margin contraction in H1 is mainly coming from the Q2, where we faced the revenue contraction. However, thanks to our flexible operating model and cost containment measures and after the dilutive impact of the consolidation of Altran, we report a gross margin contraction in H1 limited to 1.2 points. We managed to partially offset this impact, thanks to a reduction in our selling expenses, notably on travel costs, while remaining a -- with a strict monitoring on our G&A expenses. Moving on to the next slide. Our financial expenses are up to EUR 64 million in H1 2020 versus EUR 39 million in H1 last year, with the increase of our net debt due to the Altran acquisition. Our income tax expenses decreased from EUR 232 million in H1 2019 to EUR 204 million in H1 2020, the impact of the U.S. tax reform amounting to EUR 26 million in H1 this year versus EUR 30 million in H1 last year. Setting aside the transitional item, our effective tax rate is up 2 points to 34.6%. This is mainly due to the temporary consequences of the consolidation of Altran into group tax scope. Finally, here is a recap of our P&L from operating margin to net income. The other operating income and expenses increased to EUR 241 million in H1 2020 compared to EUR 139 million in H1 last year. This increase is notably due to temporary impact from Altran. Acquisition costs are up to EUR 36 million, as expected. Integration costs are up to EUR 25 million on a combined basis, and we confirm EUR 150 million of total integration costs over the first 2 years of integrations. Beyond the transaction impact, we incurred EUR 17 million in other costs corresponding to some limited one-off expenses directly related to the pandemic outbreak. In addition, the higher restructuring cost reflects both a seasonality effect and a scope impact. For the full year, with around EUR 30 million, EUR 40 million of restructuring per years coming from Altran, we can expect an amount closer to EUR 150 million, which represents a limited increase on a like-for-like basis. Finally, please note that the Altran purchase price allocation will only be set at year-end, so H1 results do not include new amortization charges. Our operating profit stands at EUR 577 million or 7.6% of our revenues, down 12% year-on-year. After the financial expenses and taxes, our net profit amounts to EUR 311 million in H1 2020, down by 20% from the same period last year. Our normalized EPS for H1 2020 records a limited contraction of 4% at EUR 2.80, and EUR 2.95 before the transitional impact of the U.S. tax reform. Looking now to the evolution of our organic free cash flow and net debt. As you can see, 2020 will be following the usual seasonal pattern in terms of cash flow generation. In terms of capital allocation, we returned to our shareholders virtually the same amount than last year, EUR 426 million, with balanced amounts for dividends and buybacks. The cash outflows for acquisitions were EUR 3.234 billion, largely relating to Altran. Therefore, our net debt increased to EUR 6 billion at the end of June compared to EUR 600 million at the end of 2019. You'll find a detailed bridge in the appendix section. The Altran refinancing plan has now been fully executed as planned. We took EUR 1 billion from our cash available and made 2 bond issuances to cover the remaining equity part and the term loans, and I'm very pleased with how it has been received by the market. With these, we managed to extend to 6.6 years the average maturity of our debt, which now bears an attractive average cost of 1.8%. I'm fully confident in the group ability to deleverage rapidly our balance sheet, thanks to our strong cash generation profile. A couple of words to conclude. All in all, under unprecedented circumstances, I'm pleased with our strong performances in H1. We'll -- have demonstrated agility to limit the crisis impacts on our profitability with strong cost containment. We also maintained a strict financial discipline to keep our working capital under control and protect our cash generation profile. We thus start to demonstrate our stronger resilience. With this, let's now open the Q&A session.
Aiman Ezzat: Okay, operator, we are -- back to you for the Q&A session.
Operator: [Operator Instructions] We have the first question from Adam Wood from Morgan Stanley.
Adam Wood: I've got two, please. Maybe just first of all. I mean you actually alluded to the changes that you're seeing in the market. This is, I think, a question that many investors are asking in terms of what are the longer-term structural changes that happened to technology because of the pandemic. Could you maybe just go a little bit more into detail around what you're seeing around client demand and, maybe more importantly, how this could impact the financials of the group? So could we see a stronger acceleration and stronger growth in digital and cloud? Does that mean more investment needed in reskilling and innovation? And equally, does it mean that the legacy part of the business may actually be more impacted? So if you could help us around that. And then also specifically around Altran. I think rationale for the deal was the digital manufacturing side. Manufacturing has been weak, no surprise, in the short term, but what are you seeing there around demand as we're looking a little bit further out. And then maybe secondly, I know you'd be reluctant to talk about this, but there's going to be a huge number of moving parts as we look out to next year's margins. I wonder if you could give us any framework in terms of the moving parts there. I guess normally we'd expect margins up maybe 30, 40 bps, but we're going to have the Altran synergies coming through. We're going to have a very easy base comparison, but equally we're going to have some of these short-term cost measures fall away and possibly benefits from furloughs fall away, so any help you could give us in terms of framework for how margins move next year would be really helpful.
Aiman Ezzat: Thank you, Adam, for these very interesting questions. First, I just want to clarify something I said. When I talk about climate, I think I -- what I said was not correct. We intend to save with our clients 10 million tons of their carbon footprint by 2030. This corresponds to 20x our carbon footprint in 2019. So it's not 20%. It's -- so we don't emit 50 million. We actually emit about 0.5 million tons. So for clarification. So going around the changes. So I think it's important to make the difference between what I would consider as being more our clients' reaction to the pandemic and what -- and the implication in terms of structural changes. I think the clients' impact -- on the pandemic, what we see is the evolution in terms of more deals and larger deals around cost transformation and vendor consolidation. So like many others, like us, they are looking for cost savings. They're trying to restore their economic model. And of course, they are looking to see how they can do cost savings, including leveraging the partner base and consolidating it, and looking for cost transformation deals. So that's more, I'll say, short term. Or at least the next 12 to 18 months, we definitely see an increase. Longer term, I definitely see [ an exploration ] in digital and cloud. We already see it in the cloud because cloud transformation is a big driver of flexibility, agility and cost. So we see a really big boost in terms of demand during the pandemic already, also driven by the need to connect remotely, have a more secure environment, manage higher levels of data, have -- being more digitally connected with their clients. So cloud is already booming. And the digital part has resisted quite well in the pandemic. And I -- and it -- the clients saw there was a difference between the one that have invested in digital and in digitally enabling their client relationship but also their operation, their supply chain, their manufacturing plants, et cetera; and the ones that haven't. So definitely there is some catch-up from some people to be able to get back on the bandwagon of digital investments. So I'm pretty positive around the long-term impact in terms of the fact that there will be further increase and acceleration in digital and cloud over the coming quarters and years. In terms of impact of legacy. The net growth is -- at the end of the day, becomes the growth of your new and potentially the speed of erosion of the legacy. What we call legacy, for me, remains quite important for companies. You have to continue running your environment for a long time, so we continue to work on that. We have renewed our ADM offerings. We have relaunched an [ ADM gen ] offering. And we continue to work with clients on helping them manage the environment in what we call legacy today. So it remains smaller areas of investment. Most of our money is going into the new, but definitely we'll continue working there. Do we need to accelerate reskilling? To be frank, our reskilling programs are pretty intense. We have actually accelerated them during the crisis. And we have to manage that evolution with the evolution of demand. I do not believe that we're in shortage in terms of new skills, and we continue to manage that in an efficient manner. When it comes to your -- on the digital manufacturing side, which is an important part, of course, of what we are doing now. We call it Intelligent Industry. The addition of Altran is showing the opportunities in the market. I mean we tell you that we already have 250 opportunities coming from initial convergence of capabilities but also cross-selling. We are launching new offerings in the coming weeks and months around that. And clearly, the pandemic stresses the need to increase areas like supply chains that need more flexibility and that require Intelligent Industry to manage the data but also in terms of new product development and introduction of new offerings to basically address client needs. For example, the stress that the pandemic is putting on the increased focus on the climate is seeing an acceleration in terms of electric vehicle sales. This is going to force our -- the auto manufacturer to accelerate their programs. And this has a big impact, for example, on the investment in digital manufacturing. So here again I remain quite positive about the fact that, in spite of seeing a decrease in the short term in terms of the spend from some manufacturers like auto and aerospace, the long-term impacts of what is happening today is going to be an increased spend. Margin for 2021. You're a bit ambitious in terms of the question. And my answer is it's a bit too early [ to talk ] about that, notably because I still don't know what will happen between now and the end of the year. I mean I just want to clarify that we gave you -- I mean we gave, for me, a range on the guidance which is still high, right? And we gave a range which is still high in terms of, basically when we say minus 3% to minus 4.5%, it's still a big range for me that -- what more I would say at this time of the year, but the reason is I don't know what will happen between now and the end of the year. Look at the case of France, where we have an increase in the number of cases. What will be the government measures over the next weeks? I cannot anticipate them, but I want to make sure that whatever we tell you is covered, right? So for me, we cover the cases of basically degradation in the environment between now and Q4. That's why we're giving a guidance, because now we are comfortable saying that, even if there are degradation, there is lockdowns in some countries, et cetera, we -- our targets and guidance are not going to change. That's why it's a bit ambitious to say what happens next year from now on, because we don't know yet where we're going to end the year.
Operator: Next question, from Mohammed Moawalla from Goldman Sachs.
Mohammed Moawalla: Aiman, I had a couple of questions. First of all, just in terms of your relative visibility now versus, say, at the end of Q1. You've obviously reinstated the guidance, but I think some of that's qualitative commentary of sort of larger deals coming back in the pipeline, also digital supply chain sort of improving. Can you maybe just talk us through that sort of how you kind of look at second half and sort of 2021 pipeline? And if you were to rank some of the factors that are probably shifting the greatest, whether it's the kind of share gains, whether it's the larger deals. And what's really driving that? Is it primarily digital and cloud? And then secondly, just on the book-to-bill, the 110%, what was the organic number, excluding sort of Altran, for sort of core Capgemini, if that's sort of a way you can frame it? And then lastly, again coming back to kind of the margin and kind of the margin levers, I think you sort of alluded to Altran synergies. You have 2/3 being recognized by the middle of next year. And I think your original assumption was kind of a minimal amount in Q4 this year. What's changed there? And could we see the kind of pace of some of the cost synergy realization potentially accelerate?
Aiman Ezzat: Okay, H2. I mean what I can tell you is basically our visibility, the confidence that we see from the team, the stability of the forecast has increased. As you imagine, when we started in March, with the pandemic happening, we saw forecasts degrading months on months. Now we are -- start seeing for the last 2 or 3 months stability of forecasts, and some of them are now improving, which basically shows the confidence that the team have in terms of the perspective. Of course, we remain cautious because we cannot anticipate all what is going on with the pandemic and the reaction of clients to basically some potential government measure or degradation in the environment. So this is factored today in our guidance, but overall we have seen stabilization, improvement, increased visibility overall in our business. When we look at the deals, yes, the funnel is actually increasing year-on-year now. The larger deals are coming driven by the vendor consolidation and cost transformation. And we see definitely some of the smaller products also coming back because, if you think about Q2, of course, we had the dry-out of all what is a small project, small enhancement, et cetera because clients were cutting everything. The good news, we start to see that coming back. Also, as Rosemary told you, we expect to start to see normalization as well in terms of decision time lines, which is one of the important aspects. Of course, we'll still continue shift between Q3 and Q4, Q4 and Q1, but we remain quite confident in terms of what we see. And we start to see not normalization yet but greater improvement. And we expect that, if the situation remains stable until the end of the year, we will come back to normalization in terms of decision-making and commitments from clients. The book-to-bill. The book-to-bill is linked to the revenues. So the book-to-bill of Altran is lower than the book-to-bill of the group, by definition, a little bit. [ But so ] the book-to-bill of Capgemini is a bit higher than the 1.1 of, let's call it, the legacy. Or excluding Altran is a bit higher than the 1.1 that you see but not materially higher because Altran is a bit less than 20% so. And you had the last question around the margin levers. So first, coming back to the synergies, to clarify. The cost and operating model synergies are EUR 70 million to EUR 100 million. We did say that we'll achieve then an annual run rate after 3 years. So that mean basically, after 3 years, the fourth year will have the full EUR 70 million to EUR 100 million in terms of cost synergies. You know my philosophy around that. A lot of the cost aspect, if you don't do them very quickly, you never get them. And today, based on the identification that we have in terms of the action that we need to take, we are confident that 2/3 of these EUR 70 million to EUR 100 million will be in place by the end of H1, which mean we'll start getting them in full, starting in the second half of H2 of -- in H2 next year, okay, and in full basically in 2022. With the margin levers, the margin levers come a bit with the top line. Remember that one of the challenges of the crisis is the abruptness of the crisis, which basically increased quite a bit the benches in a number of countries. And France, you saw the impact of the increased bench on the margin. We don't see erosion in -- basically in our margin on project with client. There is, of course, some pressure from some client, but it's not abnormal in this kind of environment. We have been able to quite -- to protect quite well overall our client margin, so the main impact that we see today is really coming from a bit of scale because, when the top line goes down, your costs don't go down as fast sometime but especially coming from the increased bench, the non-utilization of resources. So one of the levers going into next year is basically as we adjust bit by bit the recruitment versus attrition and the demand that will start to come to more normalization, and that will help, of course, improve the margins.
Operator: Next question, from Stacy Pollard from JPMorgan.
Stacy Pollard: A few questions from me. Did you say that 90% of your staff is still working from home? And then can you talk about the long...
Aiman Ezzat: That is correct.
Stacy Pollard: Yes. Can you talk about the long-term new normal, what you think that work-from-home rate would be? And can longer-term travel costs maybe remain at a slightly lower rate? So for example, is there any potential margin benefit from that angle over the longer term? Second question, how are you thinking about Brexit risk versus opportunity? And third, just offshoring, do you think you can get back to the sort of 60%, including Altran because of course you mentioned Altran would be taking more advantage of offshore?
Aiman Ezzat: Okay, thank you, Stacy. All good question. The 90% work from home is not of our making. It's basically the situation in different countries, as you can see in -- I mean, outside of Europe, when you look at countries like Brazil, Mexico, U.S. or India, based on the current situation, it's primarily work from home, but we look at the evolution in Europe and even there we still have very high percentage of work from home. So your question is basically can we continue with that forever. For me, we can continue that...
Stacy Pollard: Well, [ not ] 90%, but maybe what would you imagine...
Aiman Ezzat: Yes -- no. So I don't [ put it with a ] number for now. I know, some people, it's nice to be able to throw numbers at this stage. What we have done, we have done very detailed work to define actually for our delivery operation, for our sales, for our enabling staff what the new model should look like. Depending on the age, experience of people; the type of work they are doing, what could be the new normal? Now we have to experiment that a little bit more, as we get out of the pandemic, before I commit to a number. We tend to be a bit more careful than sending numbers without experimenting. So we have done the work. We have a pretty clear view of what we can achieve, but I think it's too early to give you a number. I have seen some people -- the people have done extreme things like saying 75% work from home. I don't believe that model. I think it's too extreme, but definitely I do believe that we will not come back to where we were before and will be basically at a pretty high percentage. Now I want to take advantage of that to talk about work from home. For me, work from home is interesting. Remote work is even more interesting because what the pandemic has shown to us but also to our clients is that we can do remote work. And when you can do remote work, it's not just like we have today an onshore and an offshore in a certain way. For me, remote work is it can have somebody sitting in Toulouse working for a client in Germany, having somebody sitting in the Netherlands working for a client in Sweden. These increase significantly the agility of our model, our ability to deploy the best resources to the right clients; and potentially also improving our own utilization. So I see that as being a great opportunity to think differently about how we work and how we deploy resources, which as you imagine is a very important driver in terms of both value creation on the top line but also in terms of economic model. And that for me is really what we are working on now is, beyond the percentage of work from home, what we do. The travel cost is an interesting thing. Honestly, I think there's an overall over-focus on this part. The challenge with the travel costs is that a lot of it is rebilled to client when it is on projects, so it has an impact both on the top line and on the costs. So it's neutral in a certain way in terms of the impact on the operating model. And there are, yes, some travel costs that have decreased which are not linked to client work and not being rebilled. And they will probably [ swell ] a little bit back compared to [ there ], but it will be in our overall operating model but I don't think it will have a significant impact from that side. Brexit quickly, nothing new. I mean for us it's we see it, for the moment, as neutral on our operation. The question is always going to be around what's going to be the impact on some of our clients -- our U.K. clients' investment cycles. I think it's positive on the public sector because we will see an increase, with Brexit, of additional investments in the public sector to adapt to basically working now outside of the EU. Will it have a negative impact [ of ] some of our private sector clients, to be frank, is again to be seen. The question on Altran was around...
Unknown Executive: Offshore.
Aiman Ezzat: Offshore, yes. Listen, it's definitely. We talked about that. When we talked about some of the operating model synergies, it's really coming from there. We do believe that there will be an increase in clients in terms of trying to innovate at a faster pace and working a lot around the evolution and digitization of the manufacturing supply chain processes. That will require more movement to offshore to be able to find the investment capacity to be able to be done, and we do see definitely a potential in doing remote work and engineering from offshore. It's already very high percentage in North America. There is no reason we'll not be able to do that in Europe.
Operator: Next question, from John King from Bank of America.
John King: Just 2 follow-ups. Maybe first, for Carole, on the margin. And excuse me if I missed this, but I think I'm right that the North America margin was pretty strong. Is that purely just a function of Altran? Is there anything underlying you can talk about there in terms of recovery of the North America margin? And then the second question, just as you look into the second half, do you need for there to be a sequential improvement in Q4 in order to meet the guidance? Or actually, are you thinking more a reverse, that there is a risk that things get worse, as it come -- when it comes to the pandemic, as we move into the winter and therefore you're looking at a fairly normalized Q3, Q4?
Carole Ferrand: So to come back to your first question, John, on North America. I think the improvement of margin is linked to both Capgemini legacy. So step by step, we see again an increase of the margin in North America, and of course, Altran margin in that region is slightly accretive to the group. On your second question, on the evolution in -- of margin in H2: Of course, what we are targeting is really an improvement compared -- step by step compared with Q2 because, of course, we have been, as you can see, affected by the bench, especially in some regions. So gradually with a slight recovery step by step that we are anticipating, we will -- we are also anticipating the related improvement of our H2 margin compared to Q2.
John King: I should have been more precise. What I actually meant when it comes to Q3, Q4 was more around the revenue growth. Could you comment something on that?
Aiman Ezzat: Yes, yes. On the top line, right now, when we see our forecasts, we see an improvement, I mean a good improvement, already in Q3 on the top line and some more improvement in Q4, but we don't have a material like Q3 is a small improvement compared to Q2 and suddenly, Q4, we have a big expectation, right? So -- and as I said, we're also covering the fact that there is not an improvement in Q4 or potentially even a deceleration compared to Q3, that our guidance covers that.
Operator: Next question, from Michael Briest from UBS.
Michael Briest: Congratulations on the results. Aiman, you obviously started the press release talking about the resilience of the business. I'm just wondering. Could you give any color on what the guidance would look like without Altran? Because [ it ] obviously underperformed in Q2 and I'm just wondering how much weaker it's expected to be in the second half. And then secondly, on the Manufacturing side, France and Manufacturing generally were pretty weak. And I know aerospace is an important sector for Altran. Can you talk about the outlook there in some of these sectors that are so severely pressured? And then finally, in terms of furloughs, could you give an idea of how many of your people today are still tapping into furlough support from government and how that compares perhaps with the low point of the crisis?
Aiman Ezzat: Okay. So Altran. I mean I'd -- I mean, Altran, remember we also have an engineering business. So I'd like to talk about engineering overall versus Altran versus Capgemini legacy. The engineering business with the strategy and transformation consulting business have been the most affected. They are the most cyclical, and we said it since the end -- since Q1 results. So of course, they will not have recovered by the end of the year, and they will remain negative. So by definition, the rest is going to -- the rest outside of engineering is going to be better, so -- but we see improvement in engineering. We expect further improvements in Q3 and Q4. The same applies, to be frank, to our strategy and transformation consulting business. So both, which are highly cyclical, will improve as we go into Q3 and Q4, but they will remain basically behind the rest of the business. So the trend will improve, but we'll still have the lag compared to the apps business or the operation business. On the specific sectors, France is heavily impacted definitely by business and mix in terms of business line and sector. The -- we see -- we expect to see improvement in Manufacturing overall. We expect automotive to restart over the next couple of quarters. On the aerospace side, I think it will take a longer time. I mean we do not see aerospace investment coming back to normal in the next 2, 3 or 4 quarters. I think it will take a longer time. Hence, we're looking at different solutions, including potentially redeploying some of our capabilities out of some of these centers; reskilling them; and redeploying them remotely in that new model where we can basically work remotely, even from places like Toulouse or some other places, to other centers across the world. Finally, on furlough, I can tell you that today, going into Q3 and even more in Q4, we have a very limited impact from furlough, all right? We had a higher population, as you imagine, in France on furlough in Q2. It was primarily France. To be frank, it was pretty limited outside of France in terms of impact. That impact in France has gone to a very small now population going into Q3. And I think it will be -- it will have been negligible in Q4. So the guidance we're giving you is not really impacted by this furlough from government in the second half; and it will not basically be a headwind, as I say, going into 2021.
Michael Briest: And just finally, on the guidance then. I mean you do caveat it around the risks of second wave, but are you sort of assuming that the current restrictions that various governments have is sort of maintained through the end of the year? It's not improving. It's not deteriorating. It's sort of as it is today.
Aiman Ezzat: So if it is today, we will not be at the lower end of the guidance, all right, because the lower end of the guidance takes into account the fact that things will deteriorate, okay, but as I said, it's very important. My first slide was around the fact that we have got used to work in this environment. Remember we had very strong bookings in Q2 in that environment. So we know how to sell. We know how to deliver. We know how to manage people. We know how to recruit, to onboard, to train in that environment. It doesn't seem it's ideal to continue at such a high level because the lack of physical contact with people, et cetera is not good because you lose bit by bit intimacy with your teams, but we have learned to work in this environment and we can sustain as long as the crisis is going to be there.
Operator: Next question, from Stefan Slowinski from Exane BNP Paribas.
Stefan Slowinski: Just one for me just thinking about how you see head count evolving over the remainder of the year. You mentioned in your opening comments about the improved perception in the talent markets as you push ahead with raises and promotions and hiring and retraining, while some competitors aren't potentially matching that. How important is it for you to continue to drive that perception versus more proactively managing the cost base and the head count base to ensure that margins next year do step up relative to this year?
Aiman Ezzat: You have a big theory behind that, that if you don't -- if you -- if we are good with our talent, then we're not able to manage our people cost base. So I think you can do both. The question is basically how you implement some of these measures and how do you manage. How far did you react in terms of slowing down your recruitment, how you're managing your exits? Do -- I mean do remember that we continue to manage performance. So we basically continue to have people leave because of poor performance, but we don't have -- we don't need to make a big plan to be able to do that. I think we are able to manage bit by bit the equilibrium between the demand and the supply, and we're able to manage the cost base efficiently like we have always done. Even when we had, as you know, accelerated growth, we managed to manage our people costs. We also managed them on the other side in the downturn by proactively managing our pyramid and promotion and everything. So we're doing them, but we're doing them at a pace that we can afford based on the spread and the speed of growth in terms of the top line. We continue to hire young people because it's important to be able to continue to manage the evolution of our pyramid and our talent over a long period of time. We cannot just focus on the short term. So we are trying -- we have found the right balance between motivating our people, managing our utilization and basically preserving our future in what I'd call in -- a reasonable balance; and in no way it will impact basically our future capacity to be able to continue to improve our margins.
Operator: Next question, from James Goodman from Barclays Capital.
James Goodman: Before we went into COVID, we were very focused on the recovery in the U.S. It does seem like there are some pretty encouraging data points actually coming out of the U.S. now both on the top line and the margin. I know it's hard to do, but if you try and look through the effects of the pandemic for a second, is there anything you can say about the sort of underlying situation in the U.S. and the sort of improvement that you've seen there? Or is it largely a function of the better mix in the U.S. that we're seeing coming through? And I've got a follow-up.
Aiman Ezzat: So we are in North America specifically. First, do remember that we had some challenges at the end of last year in North America. We launched a transformation program. This is ongoing. So we have a transformation program ongoing in North America. I can tell you, if we engage something, it is not suddenly under the carpet because we have the pandemic and other things to deliver whilst including the Altran acquisition. So the transformation program is being deployed. We have seen an improvement in our apps business. For example, we see a number of wins in around SAP S/4 in North America, including during the pandemic's, where we have signed deals. We have started deploying -- deployments, including on merger and acquisition deals. Our old -- our digital customer experience, our digital front end is improving. We have done changes in terms of leadership. We have further integrated basically all our capabilities and we have seen that relaunched. We have very ambitious programs with a number of our technology partners in the U.S. that are very well in place and which are quite positive and basically driving growth in some of the new areas. So I do believe that we are on a track of sustainability of improvement of margin in North America coming from the evolution of our business mix but also all the transformation program and focus that we have been putting in place over the last few quarters. So...
James Goodman: That's helpful. Just a very quick clarification. I'm just curious really but whether -- the profitability, you limited it to 100 basis points impact in Q2, whether that was feasible.
Aiman Ezzat: You mean what -- are you talking about margins...
James Goodman: The year-on-year profitability margin impact, yes, [ from -- and do you see it ]...
Aiman Ezzat: To be honest, based on our case, it's very difficult to look at margin by quarter because our teams work with targets which are basically per semester. So how they fit some of the costs, some of the investments and other things makes quarterly margins very difficult kind of to comply. And they can fluctuate based on the fact that we don't publish quarterly margins. The margins are more managed on a semestrial basis and not really on the quarterly basis, but I can say that a lot of the impacts in terms of erosion of margins is definitely coming from Q2 and not from Q1, if that what is underlying question. Just we still have quite a few questions in the pipeline here. We'll not be able to answer all the questions. So I'll take one more. And Vincent will be more than happy to be able to address some of the other question at a later stage, okay? I do apologize for that, but we are running a bit out of time. So can I go for the last question, please?
Operator: The next question, from Laurent Daure from Kepler Cheuvreux.
Laurent Daure: Just 2 question from me. First, on the Altran integration, can we have a little bit more color? It is running. I'm not thinking about figures but more in terms of management positions, maybe the relationship with Sogeti High Tech. So everything you could comment about that will be useful. And my second question is on the resilience you had in utilization rates. In the second quarter, they look similar to Q1, so if you could explain why. Is it just reduction of subcos, or is it the furlough that you have restated?
Aiman Ezzat: Okay. So Altran integration color. It's -- actually it's a very good question because it is quite important. The -- I have been involved in many acquisition and integration as a consultant in the '90s and in Capgemini as well. I have to say this is probably the smoothest one I have lived through. We expected that the cultural fit will be good. It is excellent. People work in a very integrated and engaged way in the ground. The way we have set up the integration, with folks on both side talking to each other, ensuring that there is no misalignment, is working very well; the engagement of the leadership on both sides to make the integration successful extremely good. We have done surveys. And the enthusiasm of people about the value creation potential, the limited overlap between the capabilities -- and I can tell you the -- what you call the Sogeti High Tech people, which are basically the engineering part, in France and the Altran people in France work hand in hand in a complementary manner. And of course, the integrated organization takes that into account. The Altran leadership will be represent in the integrated organization with some key role, including in some countries, taken by people from Altran. So from my perspective, this is probably the smoothest integration I have lived through so far and expect it to remain as such. On the resilience...
Unknown Executive: Utilization...
Aiman Ezzat: On the utilization resilience. Well, I mean there are a number of aspects that basically impact a bit that utilization. As you imagine, there were people taking a bit more vacation in Q2, which helped a bit that utilization rate, but overall I do believe we managed pretty well in terms of the speed at which we slowed down recruitment. And we continue to manage some of the exits in Q2 of people who had resigned in Q1. That basically mean Q2. Overall, we -- of course, it was very important for us to try to manage the overall utilization because, if utilization had significantly degraded, there will be more impact on the margin. So a lot of it is linked to how we managed through basically Q2. And we expect to continue to manage this way through the rest of the year in terms of utilization, but that's why I continue to say that, if we have resisted well, it's thanks to the -- a lot of operational improvements we have done over the last years; the fact that we have a much higher percentage in offer than we had before; and the fact that, to be frank, the leadership team and the people engagement was extremely high. And that what helped us basically achieve these numbers.
Laurent Daure: Just a clarification, just quick clarification on the Altran. For the big accounts like Airbus and the other, have you put a sales rep in charge of everything, i.e., engineering and IT? Or how does it work, in fact?
Aiman Ezzat: Oh, how do we work? I mean we have -- the team work in an integrated team. We have still the account managers on both side, but a lot of the large account have an executive sponsor who basically manage that. And the teams are working very well together in a smooth manner. To be frank, we didn't have any an issue. Just to give an idea: If we take the -- we target 38 accounts globally between Altran and Capgemini. When we have done a joint discovery phase on the accounts to understand each other and then we have done joint account plans, I heard nothing coming back as negative or clashes or tension in any of these session. And today, we have developed 38 joint account plans. Basically, of course, as you imagine, the most important accounts where we can target together or we had overlaps are part of that list. So again, that process has gone, to be frank, smoother and beyond expectation. Thank you very much for attending the session today, and I look forward to talking and seeing all of you in the coming weeks.
Carole Ferrand: Bye-bye.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.